Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Euroseas conference call on the third quarter 2017 financial results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer, and Mr. Tasios Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must also advise the conference is also being recorded today. And please be reminded that the company has announced their results with a press release that has publicly been distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that, in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide number two of the webcast presentation, which has the full forward-looking statements, and the same statement was included in the press release. Please take a moment to go through the whole statement and read it. And, I'd now like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas : Good morning and thank you all for joining us today for our scheduled conference call. Together with me is Tasios Aslidis, our CFO. The purpose of today's call is to discuss our financial results for the three and nine-month periods ended September 30, 2017. Let's turn to slide three of our presentation for our financial results overview. Starting with our third quarter results, net loss for the period was $4.8 million, while adjusted net loss attributable to common shareholders was $0.7 million or $0.06 loss per share basic and diluted. The difference is the $0.5 million of dividends from the Series B preferred shares and the write-down of the $3.3 million for Monica and $1.3 million for Angeliki, which are both held for sale. Net revenues were $11.1 million and adjusted EBITDA was $2.8 million. On the right-hand side of slide three, we have our first nine-month 2017 results. Net loss for the period was $8 million, while adjusted net loss attributable to common shareholders was $5.3 million or $0.48 loss per share, basic and diluted. Net revenues were $29.4 million and adjusted EBITDA was $4.9 million. Please turn to slide four to discuss our operational highlights for the quarter. In September 2017, Euromar became a wholly-owned subsidiary of Euroseas and its majority shareholders, Eton Park and Rhône Capital, sold their shares to Euroseas for a nominal consideration. The nine vessels owned by Euromar were controlled by its lenders as the debt on the vessels were significantly higher than their market value. At the request of the lenders, the vessels were sold. Euroseas purchased four of those vessels, namely the feeder ships EM Athens, EM Oinousses and EM Corfu, and the Akinada Bridge, a post-Panamax size containership. The first three have already been delivered to us and the Akinada is expected to be delivered by year-end. The total price paid for these vessels is $25.2 million, which is being financed by $17.5 million, already arranged new debt facility and already partly drawn. And the remaining equity needs will be financed through the proceeds from the sale of M/V Monica P and Angeliki P, which are expected to contribute about $7 million net after debt repayments. The remaining five vessels have been sold in the market, two to clients of Ernst Russ and three to investors affiliated with the Pittas family. In exchange of these transactions, all bank debt of Euromar was repaid or forgiven. Euromar is to be wound down. The construction of our newbuilding Kamsarmax vessels, sister-ship to our Motor Vessel Xenia, is proceeding as planned. The second installment was paid on September 29, to be followed by a 10% third installment that will be paid on or about February 2018. And the final installment of 70% at delivery of the vessel that is expected by June 2018. The only dry dock of the quarter is the Aegean Express, which was dried docked from September 26 to October 25 with a total cost of about $550,000. On slide five, we provide our fleet as of today. In total, we have 19 vessels, seven drybulk vessels and 12 container vessels that include the Akinada Bridge that will be delivered this year and the newbuilding Kamsarmax, which will be delivered in June 2018. After the sale of the Monica and the Angeliki P are concluded, we will be left with 17 vessels again. Turning to slide six for our charter highlights during Q3 2017. It was a busy period. Starting with our bulkers, the Monica P was fixed for 20 to 25 days initially at $10,600 per day and then fixed for about 65 days at $13,750 per day. The Tasos was fixed for a voyage trip of $8,500 per day, which is just ending, and we're looking for further employment where we expect to fix it around the $10,000 level. The Pantelis was fixed for about 25 days at $9,500 per day. That was followed by a trip of about 80 to 90 days at $12,575 per day. For our containers, the Angeliki P was fixed for one trip to carry empties in the Far East at $1. This is a positioning business, enabling the vessel to reach the Far East at the lowest possible cost, where the intention is to sell her. The EM Athens was fixed for 25 to 50 days at $8,500 per day. And as of November 3, will be employed for three to five months at about $7,000 per day. The EM Oinousses was extended for about 10 to 13 months at $8,500 per day, with a charterers option for further 12 months at $15,000 per day. The Aegean Express was extended for about 120 to 170 days at $8,250 per day, starting from November 7. The EM Astoria was extended for five to seven months at $8,000 per day that will start on December 4. The Joanna was extended for five to eight months at $7,000 per day gross that started on September 15. The Manolis was extended for six months at $7,000 per day. The Ninos was extended for four-and-a-half to five-and-a-half months at $8,950 per day, starting November 5. And the Kuo was extended for about four-and-a-half to five-and-a-half months at the same rate, $8,950 per day, that will commence November 16. Let's move to slide eight for a brief overview of the chartering market. The Baltic Dry Index was at 901 points on June 30 and averaged 1,137 points during Q3 2017, after having bottomed at 820 points beginning July and ending at 1,356 points at the end of September. As of November 8, it has increased further and stands at 1,489 points. The Daily Cape's spot rates averaged $15,163 per day in Q3. Panamax averaged $10,167 and Supramax-58 averaged $10,718. They closed the quarter at higher levels of $18,450, $11,438 and $12,375 per day respectively. And, currently, they stand at even higher numbers of $21,980 for Capes, 12,160 for Panamaxes, and $10,790 for Supramax-TESS58. One-year time charter rates also increased across all sizes. Capes from $14,692 per day, which was the Q2 average, to $15,058, which was the Q3 average. Similarly, Panamaxes from $10,215 to $11,079 in Q3 and Supramaxes from $9,385 in Q2 2017 to $10,231 in Q3 2017. These figures are still increasing as of October 2017. They stood at $15,925 per day for Capes, $12,375 per day for Panamaxes and $11,250 per day for Supramaxes. Secondhand five-year-old prices also rose in Q3 by about 5% on average and currently are around the levels reached in March 2017 or slightly higher in some cases. As resale newbuilding vessel candidates have disappeared, a number of new building orders have emerged with 2019 and 2020 deliveries. Newbuilding prices for Chinese-built vessels are in the region of $24 million to $25 million for Kamsarmax and Ultramax. Year-to-date, the drybulk fleet has grown by about 2.8%. Please turn to slide nine to discuss the containership market. Time charter rates in Q3 for feeder and intermediate-sized vessels ranging from 1,000 to 3,000 TEU have all averaged about the same as in Q2. The 1,700 TEU geared rose from an average of $6,950 per day in Q2 to $7,317 per day in Q3 and the 2500-geared vessel slightly fell from an average of $8,900 per day in Q2 to $8,733 per day in Q3. Average secondhand prices for older than 15-year-old vessels remained close to scrap values in Q2 and Q3. However, for younger vessels of about ten years old, they rose in the region of 12% to 25% for sizes between 1,700 and 2,500 TEUs. Newbuilding prices were stable with rising trends. Until September, activity was minimal, concentrating on smaller vessels with 2019 onwards deliveries. However, in September, we had 25 vessels ordered from CMA-CGM, MSC and Eastern Pacific, rising from 14,000 to 22,000 TEUs and totaling 532,000 TEUs. All these vessels are due for delivery in 2019 and 2020. The idle fleet dropped from about 536,000 TEU in the beginning of July to about 394,000 TEU by October 2, but increased again to 550,000 TEU by October 16 due to canceling of sailings of large vessels due to the Chinese holidays. We expect this to be a temporary effect. Scrapping continued to be slow in Q3 2017, totaling about 75,000 TEUs, up from about 60,000 TEUs in Q2. Year-to-date, the fleet has grown by about 3%. On slide ten, you can review the drybulk profile and orderbook delivery schedule. The delivery schedule for drybulk vessels in 2017 stood at 7.4% of the fleet at the beginning of the year. However, slippage and cancellations continued to occur and the actual number of deliveries in 2017 will be significantly less than originally predicted. Overall, deliveries in 2017 should be the lowest of the last ten years. The 2018 orderbook is even less. And it is expected that after scrapping, slippage and cancellations, the actual fleet could grow less than 2% in 2018. Please turn to slide 11. The container delivery schedule at the beginning of 2017 stood at 8.3% and is still dominated by the larger vessels. Here again, cancellation and slippages will result in less deliveries than originally predicted. For 2018, the orderbook stands at 7.4%, but, again, actual will be lower due to slippage and drops due to slippage. And the orderbook dropped significantly in 2019. A great majority of the orderbook, by far largest proportion, is still for larger ships. Please turn to slide 12 to have a brief discussion on the world economy, which is, of course, the driver of our business. We have a synchronized world economic recovery for the first time since 2010. US growth continued strong in Q3 at 3% despite the destructive hurricanes. Strengthening growth in the Eurozone, strong growth in China and solid growth in most parts of the world are to result in healthy growth for 2017 and 2018. Other positives include the strong consumer confidence, the continued accommodative monetary policies worldwide, the election results in Germany and Japan that will ensure continuation of successful policies and low natural unemployment rate in major economies which allows for growth without triggering inflation, and strong performance from India despite a slight hiccup due to Modi's latest policies, and the return to growth in Latin America. Of course, there are a number of uncertainties still making headlines, including the North Korean missile tension, uncertainty about the Iran nuclear program, uncertainty in the Middle East, and the changing role of the US in the world scene which can have some unpredictable results. There is, of course, also the unresolved US tax reform. Demographics is an issue in Japan and Europe and we cannot discount the risks form the unwinding of central banks' large balance sheets. The IMF projected world GDP growth in 2017 is now expected to be 3.6%, a 0.1% increase from the previous quarter. China is expected by the IMF to grow by a healthy 6.8%, slightly up from the previous quarter of 6.7%. India is projected to grow by 6.7%. Although still strong levels, its forecast is down by 0.5% compared to the previous quarter. The US is projected to grow by 2%, up by 0.1% from the previous quarter. Brazil is expected to have 0.7% growth in 2017, up from 0.3% of the previous quarter. And Russia is expected also to better in the previous quarter, growing by 1.8% instead of 1.4%. Turning on to shipping, drybulk growth also has grown more than expected. According to Clarksons, it's now projected to grow by 3.8%, up by 0.3% from the previous quarter. Also, containership trade saw growth more than the previous quarter at 5.2% from 4.8% previously. Let's turn to slide 13 to summarize our outlook for the drybulk sector. The market in 2017 was characterized by a robust demand and a depleting orderbook. The year will average significantly higher than 2016. For 2018, we expect further improvements in the demand/supply balance. And barring any significant slowdown in Chinese iron ore and coal imports, we should see an even stronger market. China remains the main source of drybulk trade. Iron ore imports, the largest contributor of drybulk trade growth, have been strong amidst very firm steel demand and rising imports attributed mostly to local mines closures, but also the very good end demand. Similar trends are witnessed in coal imports as local mines are being shut down due to inefficiencies and pollution concerns. Based on a conservative assumption of 2% demand growth only in 2019, it would take more than 1.5% of new orders to be placed for 2019 delivery for the supply/demand in 2019 to turn marginally negative, something which probably is not going to be the case as works in good yards are already drying up for 2019. Let's turn to slide 14 for our outlook on the container market. Demand growth in 2017 will come in in excess of 5%, against our original estimate of 3%. This has led to a rapid depletion of the idle fleet and a robust market recovery. We expect the supply/demand balance to be almost flat in 2018. Despite the large orderbook of big vessels, massive and continuous cascading has moved the oversupply into the smaller vessel sizes. This trend seems to be reversing recently. Developing trading patterns and further cascading will determine the smaller vessel market in the future. The full absorption of the Panamax fleet is expected to release much of the top-down pressure and, therefore, create the dynamics for a favorable environment for the smaller vessels. Idle Panamaxes are down from about 130 vessels to about 30 vessels. Should this pressure disappear, then we could possibly see a disconnection between the earnings of bigger versus smaller vessels in favor of the smaller ones. The orderbook for 2019 was very low until recently, suggesting that 2019 can be a very good year if demand holds up. However, the recent ordering of about 20 mega vessels of 22,000 TEUs from the two liner companies described previously for delivery in 2019 and 2020 may take some steam out of a very promising market from 2020 onwards. Should this trend be followed by others, the fundamentals could turn negative again from 2020. But that's still a long way out and we will see how that develops in next year. Let's now turn to slide 16 to view our drybulk employment schedule. As you can see, our drybulk coverage for 2018 stands at just about 22%, giving us ample capacity to benefit from a rising market. We're continuing the practice of employing our vessels on short-term contracts or index charters in the expectation of further market improvements. Slide 17 shows our containership employment schedule. Again, we have currently about only 21% coverage for 2018. Just as we have with our drybulk vessels, the strategy for our containerships has been to employ them on short-term employment in anticipation of the market improvement, except where we can earn more than $10,000 per day. Please turn to slide 18. Eurobulk, our manager, continues to keep our costs low. Our daily cost per vessel for 2017 was in line with our budget and similar to previous years. The graph in the page compares daily costs excluding drydocking since 2008 with our peers. Overall, our cost remains the lowest amongst the public shipping companies. For the third quarter of 2017, our operational fleet utilization was 99.9%, virtually no idle fleet at all, and our commercial fleet utilization was 100%. Let's turn to slide 19. The left side of the slide shows the evolution of time charter rates of Panamax drybulk ships and containers of 1700 TEUs since 2001. Drybulk vessel rates have bounced back from their all-time lows last year, but are still historically low. Container rates for vessels of our size have moved off their all-time lows, but are still just covering OpEx, interest and only part of depreciation. However, the trend is upwards as discussed. The right-hand side of the slide shows vessel values in relation to historical prices. Drybulk prices have moved above all-time low values, which were established at the beginning of 2016, but they are still lower than historical average. Containers are just now starting to move away from their all-time lows. We believe the current valuations still do not reflect the long-term revenue capacity of the vessels in either sector, but especially on the container site. Assuming that the analysis of the IMF are right in predicting slightly stronger global GDP growth in 2017 and 2018, we should be on track for market improvements in both markets once the current orderbook gets delivered within the next year or so, provided, of course, that the industry does not shoot itself again in the foot by starting to reorder new ships, which would create worries for 2020 onwards. With our balance sheet strengthened, our orderbook streamlined, and our unwinding of the Euromar joint venture which resulted in us purchasing five out of the ten quality vessels of that venture, we are now focusing on trying to take advantage of the still low point in the markets to find additional ways of growing the company, by utilizing our long-standing expertise in running ships and being in the US capital markets for the benefit of all our shareholders. And with that, I want the pass the floor over to our CFO, Tasios Aslidis, to take you through our financials in more detail.
Anastasios Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. I will provide you with a brief overview of our financial statements and the results for the three and nine-month periods ended September 30, 2017. For that, let's turn to slide 21 and take a look at our results for the three-month period ended September 30, 2017 first. We reported total net revenues of $11.1 million, representing a 54% increase over total net revenues of $7.2 million during the third quarter of last year. We reported net loss for the period of $4.8 million and a net loss attributable to common shareholders of $5.3 million as compared to a net loss of $4.6 million and net loss attributable to common shareholders of $5 million respectively for the third quarter of 2016. The results for the third quarter of 2017 includes most notably a $4.6 million loss on write-down on two vessels classified as held for sale where the result for the third quarter of 2016 include mainly a $1.8 million loss on termination of a newbuilding contract. As Aristides mentioned earlier, the difference between net loss and net loss attributable to common shareholders of $0.5 million accounts for the dividend we paid to our Series B preferred shares in the third quarter of this year. These preferred dividends can be paid out at our option either in cash or in kind. And we have elected to paid it in kind for the last 15 quarters. Basic and diluted loss per share attributable to common shareholders for the third quarter of 2017 was $0.48 compared to basic and diluted loss per share of $0.61 for the third quarter of last year. Excluding the effect on the loss attributable to common shareholders for the quarter of a net gain on derivatives and the loss on write-down of vessels held for sale, the adjusted net loss per share attributable to common shareholders for the quarter ended September 30, 2017 would have been $0.06 per share compared to adjusted net loss of $0.40 per share basic and diluted for the third quarter of last year. Adjusted EBITDA for the third quarter of 2017 was $2.8 million compared to $0.3 million achieved during the same period of 2016. Let's now turn to the right-hand side of the slide 21 to look at our results for the first nine months of this year, for which we reported net revenues of $29.4 million, representing a 39.1% increase of total net revenues of $21.1 million that we had during 2016 for the same period. This is a result of the increased average number of vessels we operated and the increased average time charter rates we earned. We reported a net loss for the period of $8 million and a net loss attributable to common shareholders of $9.4 million as compared to a net loss of $26.6 million and $27.9 million respectively for the first nine months of last year. The results for 2017 most notably include $0.5 million gain on the sale of a vessel and a $4.6 million loss on the write-down of the two vessels held for sale that I mentioned earlier, where the results for the first nine months of 2016 mainly include a $0.2 million loss on derivatives and a $3.2 million loss on the termination of two newbuilding contracts, and a $14 million impairment of investment in joint venture. Again, the difference between net loss and net loss attributable to common shareholders of $1.3 million for the nine-month period accounts for the dividends we paid to our Series B preferred shares. Basic and diluted loss per share attributable to our common shareholders for the first nine months of 2017 was $0.85 compared to $3.43 basic and diluted for the first nine months of 2016. Again, excluding the effect on the loss attributable to common shareholders for the first nine months of this year, the net loss on derivatives, the gain on sale of a vessel and the loss on write-down of vessels held for sale, the adjusted net loss for per share attributable to our common shareholders would have been $0.48 compared to $1.29 for the same period of last year. Adjusted EBITDA for the first nine months of 2017 was $5 million compared to a negative EBITDA of $0.8 million for the first nine months of last year. Let's now move to slide 22. In this slide, we provide you with our fleet performance for the three and nine-month periods ending September 30, 2017 and compare it with the same performance over the same periods of last year. Let's start with our three months ended September 30, 2017 and our fleet utilization rates, which we have broken down into commercial and operational. Thus, as you can see on the left-hand side of the slide, for the third quarter of this year, we reported a 100% commercial utilization rate and a 99.9% operation utilization rate compared to 99.7% commercial and 100% operational utilization rates for the same period of 2016. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydock, scheduled repairs or in layup during the reporting periods. In the third quarter of this year, we operated 14.02 vessels with an average time charter equivalent rate of $8,528 per vessel per day, representing a 13.7% increase compared to the time charter equivalent rate of $7,500 per vessel per day that we achieved during the same period of 2016, a period during which we operated 11.02 vessels and drybulk rates were at a historical low point. Total operating expenses, including management fees and general and administrative expenses, but excluding drydock costs, were $5,793 per vessel per day for the third quarter of 2017 as compared to $5,834 per person per day for the same period of 2016, representing a decrease of about 1%. As Aristides mentioned earlier, overall, we believe we maintained one of the lowest operating cost structures among our public peers and we think that this is one of our competitive advantages in the business. Let's now look at the bottom of this table to our daily cash flow breakeven levels, presented here on a per vessel per day basis. For the third quarter of 2017, we reported an operating cash flow breakeven level, including loan repayments, but before any loan repayments, of $7,355 per vessel per day as compared to $8,499 per vessel per day during the same period of 2016. Let's look now at our nine-month performance. Again, starting from our utilization rate, broken down in commercial and operational. For the first nine months of 2017, we reported a 98.8% commercial utilization rate and a 99.2% operational utilization rate as compared to 97.6% and 99.8% respectively for the same periods of 2016. Again, our utilization rate does not include vessels in scheduled drydock, scheduled repairs or are in layup. In the first nine months of this year, we operated an average of 13.51 vessels and set an average time charter equivalent of $7,978 per vessel per day, representing a 12.6% increase compared to the time charter equivalent of $7,085 per vessel per day that we had during the same period of last year, a period during which we operated 11.33 vessels. Total operating expenses, again including management fees, general and administrative expenses, but excluding drydocking costs, were $5,824 per vessel per day for the first nine months of 2017 compared to $6,011 per vessel per day for the same period of last year, representing a decrease of about 3%. Looking again at the bottom of this table to our daily cash flow breakeven level for the first nine months, we see that we had the cash flow breakeven level of $7,699 per vessel per day, a number that includes again loan repayments, but does not include balloon repayments. This compares to $8,379 per vessel per day that we had in the first nine months of 2016. Let's now move to slide 23. This slide shows, on the right-hand side, our cash flow breakeven budget estimated over the next 12 months and, on the left side, our scheduled debt repayments including the scheduled balloon repayments over the next five years. The chart also includes the $17.5 million loan that we have agreed to draw and we have partly drawn to finance the acquisition of the four vessels that we mentioned earlier in the presentation. Also, this chart does not include the loan that we would have to draw to finance the Kamsarmax vessel, our newbuilding that is coming to delivery in the middle of 2019. You'll notice in the graph, that, in 2018, we have $7.7 million of balloon repayments, while, in 2019, we have balloon repayments of $16.4 million due. Typically, and so far, we have managed to refinance the biggest part of our balloon repayments as they come due and we expect to be able to do so for these ones as well. Expressed in dollars per vessel per day, our loan repayments over the next 12 months amount to about $1,350 per vessel per day contribution to our cash flow breakeven. You can see this number on the table on the right part of the slide. We will make assumptions for the rest of our operating items, such as operating expenses, general and administrative expenses, interest and drydocking expenses on a per vessel per day basis. We have a breakeven level of around $8,300 per vessel per day over the next 12 months, again, without any balloon payments, which, if included, would have added about $1,000 per vessel per day to our cash flow breakeven level for the period. Let's now move to slide 24 for a discussion of our cash flow and net asset value sensitivity to market changes because, as mentioned earlier, we believe Euroseas is well positioned to take advantage of a potential market recovery. As you can see in this slide, about 13% of our total available days in 2018 are contracted with fixed charter rates, leaving significant capacity days available to benefit from a stronger market. While, as we saw in the previous slide, a low cash flow breakeven rate provides us an extra cushion to absorb any market volatility. You can see the sensitivity of our results to possible market developments in the table in this slide where, specifically, we show the effect on our earnings of $1,000 per day change in the market rates. In 2018, if the market increases by $1,000 per vessel per day, it will contribute about $4.5 million to our bottom line, which would translate to about $0.40 per share. Similarly, if the values for our ships increased by $1 million, our fleet value would increase by about $16.5 million, which in turn would translate to about $1.50 per share increase in our net asset value. And with this positive note, I would like to turn the floor back to Aristides to conclude the call and answer your questions.
Aristides Pittas: Thank you, Tasios. I can now want to open up the floor for any questions we may have.
Operator: Thank you. [Operator Instructions]. Your first question is from the line of James Jang from Maxim Group. Your line is open.
James Jang: Good afternoon, guys.
Aristides Pittas: Hi, James. How are you?
James Jang: So, I just have a question on the Euromar fleet. Have you guys had any internal discussions on what you plan to do? Is it just going to add in to the company, to a spinoff, what's the strategy there?
Aristides Pittas: Well, as I said, we have now sold all the Euromar vessels. All Euromar vessels have now been sold. Euroseas was able to buy five out of those ten ships. And the Euromar joint venture is going to be wound down. The banks have taken all the proceeds and they have accepted to forgive the remaining of the outstanding loans. So, this is the case that is finished, it's done, it's close and we move ahead.
James Jang: Okay. So, are there any plans to possibly shift towards a more pure-play model, take all the dry assets in one and move all the containers in the other?
Aristides Pittas: Yes. This is something which the management is working upon. And it's something that may or may not happen. We have not decided yet conclusively. But having removed Euromar, having strengthened the balance sheet, and starting to see things in a much more positive way, we're trying to find the way to grow the company further. And making this to pure play companies rather than one mixed the company might make all these possibilities that we're thinking of easier. So, yes, it's a consideration. It's not final yet. But it is something that may happen.
James Jang: Okay. I'm sorry. So, I know nobody has a crystal ball, but would we be able to see a decision on this in 2018, 2019…?
Aristides Pittas: It could be a beginning of 2018 event. That is what management is considering at this point. So, it could be something that happens very soon.
James Jang: Great, all right. And in terms of just fleet growth, asset prices on drybulk side, they are moving up. We haven't seen a huge move in older Handymax and Handy-size vessels, would that be something that you guys would look at to acquire more additional tonnage?
Aristides Pittas: We think that prices, both for drybulk vessels and for containership vessels, especially containership vessels are still low and lower than historical average and lower than the earnings capability of all these vessels long-term. So, we think that it's still a period to be buying both drybulk and containerships. And that's why we're looking at ways of unlocking the value within our company, which would allow us to potentially grow the company easier with partnering up with other people. We have a letter of intent, as you know, out there with Technomar to perhaps do something together on the containers side. These are all things that are being discussed as we speak. And if we have any news, we will, obviously, announce it.
James Jang: Okay, great. And I don't know if you could disclose this or not, but the deal with Technomar, how would that look? Would management stay the same or would Technomar management come alongside? How do you guys kind of envision that?
Aristides Pittas: The principle is clear. If it was to happen with Technomar or with anybody else that we are discussing that has a solid technical operation, they would keep their technical management side of their business. But, of course, commercial activities and general management will be merged. So, we're happy to live with technical management from the other side that is considered by us capable technical management team and have Eurobulk do the technical management of our own ships, the Euroseas ships and somebody else do the technical management of the ships they contribute. But, of course, all the other functions need to be merged. This is a principle that we have been discussing with Technomar and a couple of other guys as well. But nothing has happened yet. So, please note that.
James Jang: Okay, great. All right. I don't know how much trade you guys are doing in India on the grain side, but India, they passed those tariffs on, I guess, wheat and peas. And it looks like they're trying to limit what's being imported there to help the prices domestically. Have you seen any kind of slowdown at all on the grain side to India?
Aristides Pittas: I don't think at this point we have any of our ships trading into India. So, I'm not exactly sure of the effect.
James Jang: Okay. All right, great. All right, I'll jump off now. Thanks, guys.
Aristides Pittas: Thanks a lot, James. Thank you.
Operator: There appear to be no further questions at this time. Speaker, please continue.
Aristides Pittas: Okay. So, if there are no more questions, I'd like to thank you all for listening by. And we will be talking to you again at the beginning of next year for the results of the whole year. And thank you. Thank you very much.
Anastasios Aslidis: Thanks, everybody.
Operator: That does conclude the conference for today. Thank you all for participating. And you may now disconnect.